Operator: Ladies and gentlemen, welcome to Sienna Senior Living Inc.'s Third Quarter 2024 Conference Call. Today’s call is hosted by Nitin Jain, President and Chief Executive Officer and David Hung, Chief Financial Officer of Sienna Senior Living Inc. Please be aware that certain statements or information discussed today are forward-looking and actual results could differ materially. The company does not undertake to update any forward-looking statement or information. Please refer to the forward-looking information and Risk Factors section in the company’s public filings, including in its most recent MD&A and AIF, for more information. You will also find a more fulsome discussion of the company’s results in its MD&A and financial statements for the period, which are posted on SEDAR+ and can be found on the company’s website, siennaliving.ca. Today’s call is being recorded and a replay will be available. Instructions for accessing the call are posted on the company’s website and the details are provided in the company’s news release. The company has posted slides which accompany the host remarks on the company website under events and presentations. With that, I'll now turn the call to Mr. Jain. Please go ahead, Mr. Jain.
Nitin Jain: Thank you, John. Good morning, everyone, and thank you for joining us on our call today. Our third quarter has been a great progress and success. Our operating results continued to strengthen for the seventh consecutive quarter. Our recent initiatives to raise capital were met with overwhelming demand by investors and our efforts to expand into a new province were successful. These achievements did not happen by chance. They’re the direct results of our ongoing initiatives to improve our operating platforms, strengthen team engagement and deliver on our growth strategies. Our team members are the key drivers of our organizational strength and as shareholders of the company, they're deeply aligned with Sienna’s success. For the past seven quarters, we have consistently achieved year-over-year growth in our operating results across both lines of our businesses. Sienna's total adjusted same property NOI increased by 14.7% year-over-year, including an 18.3% increase in a long-term care segment and an 11% increase in our retirement segment. Supporting the long-term care results this quarter were fully occupied homes with higher revenues from preferred accommodation and increased government funding. On the retirement side, rising demand, limited new supply and focused marketing and sales campaigns were the key drivers of improved occupancy. Further supporting our results were the ongoing improvements to our operating and our residents experience. Moving to Slide 6, same property occupancy in our retirement segment increased by 250 basis point year-over-year to 89.6% in the third quarter. Monthly occupancy levels improved throughout the quarter and exceeded 90% for the first time in over five years at the end of Q3. Occupancy reached 90.3% in September and further grew to 90.6% in October. Our continued focus on homes with lower occupancy levels was a key driver for this improvement. More than half of these homes have achieved notable occupancy improvements with occupancy increasing an average of nearly 7% over the past years in these homes. Our combinations of targeted onsite sales and marketing initiatives, strengthening operations and leadership teams as well as investments in the homes’ infrastructure are key reasons for this significant improvement. As occupancy moves closer to stabilization, each percentage increase has a significant impact on our bottom line. Our consistently strong financial results for nearly two years contributed to a sector leading stock performance and invested interest this year. As a result, we have been able to leverage the capital markets and have completed two key financings in recent months. In August, we raised $144 million of equity at $15 per share and in October we issued $150 million of unsecured debentures. Both equity and debt financings were significantly oversubscribed, highlighting the increased interest of investors in the senior living sector and in Sienna. These financing initiatives further strengthened our position for growth. Last month, we announced our expansion into Alberta with $182 million portfolio acquisition of four continuing care homes. We expect to complete the acquisition, which is subject to regulatory approvals in early 2025. The portfolio is less than three years old and consists of 540 suites located in Calgary Metropolitan area, Edmonton, Port Saskatchewan, and Medicine Hat. Each of the four properties are located in vibrant and growing communities and offer contemporary senior living accommodations. The portfolio has an occupancy rate of approximately 96% with three of the four properties essentially at full occupancy and one property in lease up. We have been considering expanding into Alberta for some time and this acquisition provides immediate scale in one of fastest growing provinces in Canada. We believe that there is an opportunity for additional growth as a result of synergies as we further expand in Western Canada. We're also in the process of finalizing the acquisition of remaining 30% interest in Nicola Lodge, our 256 bed long-term care community in the Greater Vancouver area. Nicola Lodge was built in 2016 and is a best-in-class long-term care community. The acquisition is expected to be closed in early 2025 and will increase our ownership interest to 100%. Moving to Slide 9 on development. On the development side of our business, we started construction at our newest long-term care redevelopment project in Keswick in October. We're developing a 160 bed long-term care home, which will replace the current 60 beds and add 100 new beds. We are also on track to complete our Ontario long-term care, campus of care development projects in North Bay and Brantford next year. With respect to a campus of care in Brantford, we have recently opened a sales center with 147th street retirement residents and have received strong interest from prospective residents and their families. The combined development costs for these three projects are exceeding $300 million. Once completed and operational, these projects will make a significant contribution to Sienna's operating results and lower our AFFO payout ratio. As we grow our operating platform, we'll continue to make team member engagement and retention a core focus of our initiatives, as staffing will likely remain one of the biggest challenges in senior living. We are so very proud of our recent team member engagement results. 2024 was the fourth consecutive time of improvements across all drivers of engagement. One of Sienna's top driver is a team member's ability to do meaningful work. Sienna's core for this driver was in the top 5% of the global healthcare industry benchmark among approximately 350 other organizations. The strong results also tell us that the investment we have made in our team members from training and development, improving onboarding and ship scheduling to our ownership program are all having an impact. Equally important, these improvements directly correlate with resident satisfaction, which impacts our operating results. And with that, I will turn it over to David for an update on our results.
David Hung: Thank you, Nitin, and good morning, everyone. I will start on Slide 12 for financial results. In Q3, 2024, total adjusted revenues increased by 12.5% year-over-year to $224.8 million. This increase was largely due to occupancy and rental rate growth as well as increased care revenue in our retirement segment and a government funding increase and higher private accommodation revenue in our LTC segment. Total adjusted same property NOI increased by 14.7% to $43.4 million in Q3 2024 compared to $37.8 million in Q3 2023. NOI in our long-term care segment increased by $3.5 million largely due to higher revenue offset by inflationary expense increases. In our retirement segment, adjusted same property NOI increased by $2.1 million in Q3, 2024 compared to last year, primarily as a result of improved occupancy and rental rate growth. Moving to Slide 13. During Q3 2024, operating funds from operations increased by 19% to $23.9 million compared to last year, primarily due to higher NOI, lower transaction costs and lower interest, partly offset by higher income tax. OFFO per share increased by 13.5% to $0.312 in Q3 2024. Adjusted funds from operations increased by 3.8% percent to $20.4 million compared to last year. The increase was due to higher OFFO, offset by a decrease in construction funding income and increased maintenance capital expenditures. AFFO per share decreased by 1.1% to $0.266 in Q3 2024, due to the temporary dilution resulting from our recent equity issuance of shares in connection with our $144 million equity raise. Throughout the third quarter we have strengthened our financial position and balance sheet. We substantially increased Sienna's liquidity to $517 million at the end of Q3 2024, largely as a result of the proceeds from our recent equity offering. We also extended the weighted average term to maturity of our debt from to 6.2 years from 5.7 years in Q3 2023, and we improved the debt to adjusted EBITDA to 7x at the end of Q3 2024 compared to 8.3x at the end of Q3 2023. We ended Q3 2024 with a debt to adjusted gross book value of 42.3% and approximately $1 billion of unencumbered assets. Subsequent to the end of Q3, we issued $150 million of unsecured debentures at an interest rate of 4.436%. These proceeds were used to refinance our $150 million Series A unsecured debentures, which matured on November 4, 2024. Our strong financial position with no major debt maturity until Q1 2026 coupled with significant liquidity, provides flexibility and supports our growth initiatives with respect to both our acquisitions and our development program. Our three development projects in Ontario have an average development yield of more than 8%. Once they are completed, they will make a significant contribution to Sienna's operating results. And as Nitin mentioned, we will have a notable impact in lowering our AFFO payout ratio in the high single-digits. Going forward, we will continue to prudently manage our capital as we further expand our asset base through developments, look for intensification opportunities at existing sites and grow through acquisitions. With that, I will turn the call back to Nitin for his closing remarks.
Nitin Jain: Thank you, David. I would like to conclude with a message that is familiar, but it is worth repeating. There is unprecedented growth potential in Canadian senior living with the oldest baby boomer turning 80 in just over a year and life expectancy on the rise demand is set to soar. According to Statistics Canada, the number of Canadians aged 85 and older is projected to reach 1 million by 2026 and is further expected to grow by additional 65% over the following decade. This promising demographic trend coupled with limited new supply and a strong financial performance fuels our optimism as we look ahead. We expect to round out the year with long-term care NOI to grow in the low double-digit percentage range in 2024. And with respect to retirement operations, we expect same property NOI to benefit from continued occupancy and rental rate increases and grow in the high single digit percentage range for the year. We also expect our growth momentum through our development and acquisitions to continue. We are very pleased to reinstate our drip program, which allows eligible shareholders to invest the cash dividends in shares at a 3% discount from the market price. Starting with the November dividend, investors can benefit from this convenient and cost effective way to increase their holdings and participate in Sienna's continued growth. As we expand our operating platform, we will stay focused on elevating the resident experience and deepening team member engagement. Our team members' commitment to our purpose and our residents remain a key driver of our organizational strength. As I said in my opening remarks, our achievements did not happen by chance. They’re the direct results of our ongoing initiatives to improve our operating platform, strengthen team member engagement and deliver on a growth strategy. The same focus will guide us as we build on our success and seize the favorable demographics in Canadian senior living. As we like to say at Sienna, we are just getting started. On behalf of our management team and our Board of Directors, I want to thank all of you for your continued support and commitment. We're now pleased to answer any questions you may have.
Operator: [Operator Instructions] Your first question comes from the line of Jonathan Kelcher of TD Cowen.
Jonathan Kelcher: First question, just and I know you guys don't give guidance, but just sort of high level for next year. I guess as you get closer to 95% on the occupancy front and retirement, the growth is going to be more rate driven. Just curious as to what you're seeing in terms of rate growth on turnover in your homes that are currently full or close to being full?
Nitin Jain: You're right. We don't have a guidance for 2025 just yet, then we also don't have the guidance where we'll get to 95%. I think the next year, we definitely are in the ramp up of getting closer to the 95%. So we will see that growth in our retirement NOI. I would say on an average, our rental growth is around 5%, which is a mix of both annual rent increases and market rent increases. And the market rent is really driven by supply and demand in that specific market, but on an average, it's closer to 5%.
Jonathan Kelcher: And that's well, I guess, that's fairly consistent across the board?
Nitin Jain: For our portfolio, yes. When I say it's an average because we have our goal is to be at 95%, but there are going to be homes which are at 90%, because it's market driven and there are homes which are at 100%, which we have plenty today. The ones which are 100% occupancy, obviously, the market ability to adjust market rate is much higher there versus a home, which is at a 90% with good supply in the market, where the rates might be a bit lower. But on an average, it's around 5%.
Jonathan Kelcher: And then on the long-term care, similar sort of question, you got the good growth from the Ontario bump this year and that goes through Q1 next year. And would it be fair to say you'd expect same property growth to sort of head back to in and around the 2% historical levels?
David Hung: So I mean going forward, we would expect that long-term care would grow somewhere in the range of 0% to 2%, similar to what how it grew historically before the pandemic.
Operator: Your next question comes from the line of Lorne Kalmar of Desjardins.
Lorne Kalmar: Nitin you mentioned you guys expect to be active on the acquisition front. You still got a lot left over from the equity raise. Can you maybe give us an update on the acquisition pipeline?
Nitin Jain: I'm happy to give a journal view on because we don't really get into how long the pipeline is and they're all different stages. I would say on an average, you look at around five or six acquisitions before we go on one, I think the number actually might be even higher, close to 10 to 1. So there are opportunities in the market that really remains a fit. Our focus is the right markets for us, a suite size over a hundred --minimum for retirement, close to 150 for long-term care. NOI of a certain number and either newer properties or properties where there's opportunity to invest significant capital to do a bit of a value add. But those are, I would say, minority of the kind of acquisitions we look for. So I would say there continue to be good opportunities in the market. It is an active space and it's great to see investor interest in our sector as we continue to move forward.
Lorne Kalmar: And are you guys seeing a lot of competition for assets or is there not many institutional buyers out there at the moment?
Nitin Jain: Nearly every property we have looked at, there is competition for those assets. So, which is, again, a bad thing because you have to compete for those assets. But as the owners of nearly 93 buildings that's a great problem to have because it shows that there continues to be strong valuation of these homes. I would also say the cap rates that you look at, published cap rates are a bit backward looking because those trades have not happened and there's been a significant change in interest rates, which again has not been reflected in cap rates. What we have not seen and we never even saw that during the last four years there's really no distressed assets that come to market. Even the retirement homes which are not doing the best. I mean, and by the definition of that is instead of being 95% occupied, they might be 80% occupied. So there are no really desperate sellers which is again, a good thing for the market because it's been stable. When a deal would happen, in all cases, they would be a fair market value. I have not seen a deal at least from the things that have been published publicly, anything to be of bargain price, which again, not a great thing as a buyer but a great thing because we are owners of so many properties.
Lorne Kalmar: And just last one from me. Are there, like, would you look to dispose of any less productive assets or are you guys pretty happy on that front?
Nitin Jain: If I divide our portfolio into two, the long-term care assets, it's really the if you can use the word dispose or asset recycling, I think we can use them definitely, our sea homes are the ones with needs a repurpose and what we are doing instead of selling them, we obviously are on the goal of redeveloping them. We continue to be I think we are one fourth of the way already in, in redeveloping our beds. And we continue to work through our association with government to find a path for GTA homes. We have some incredible sites, and when those homes redevelop, which I do think they will redevelop, we will have an opportunity to value the land that they're on today. So, which, again, would be uplift in future years. Our retirement portfolio is basically new. We started really in retirement business in 2012 and got to 50% now. So, other than maybe one or two properties from time to time that you might think about as not a fit, we don't really have a portfolio, which really needs any reduction in it. So we are very happy. We are very happy with the portfolio and we do think it's an enviable position not to be selling our assets in any way, shape or form.
Operator: Your next question comes from line of Pammi Bir of RBC Capital Markets.
Pammi Bir: Just coming back to the retirement portfolio, occupancy was up both sequentially and from last year. Margins were I think kind of flat. Can you maybe just expand on, I, sorry, I was just stripping out the, I guess the equity component but can you maybe just expand on the dynamic there and maybe how you see the margins trending as you kind of get north to 90% and should we start to see that margins start to accelerate even further over the next few quarters?
Nitin Jain: Sure, I can answer that Pammi. So, as we've mentioned before, our focus is really around margin dollars, not necessarily margin percentage. That being said, we do view our growth in occupancy to contribute towards margin percentage growth. So as we move from 90% towards our 95% target, our margin percentage will increase. What does impact margins now is really our work around care. So what we see is that our residents, they're coming in older, they're more frail, they need more care than they did just a couple of years back. And so that has the effect of compressing the margin percentage and therefore the overall margin percentage decreases. So again, that is why we really focus on the dollars as opposed to the percentage itself.
Pammi Bir : Just coming back to the -- I guess from a capital deployment standpoint, you've got the Alberta portfolio closing in Q1, Nicola Lodge I think as well. As you think about maybe putting the rest of that equity that was raised back putting it to work, can you maybe just talk about how you kind of see that splitting up or how you're thinking about that splitting up in terms of additional acquisitions and maybe preserving some for the long-term care redevelopments?
Nitin Jain: I think you basically have -- you answered the question there, Pammi. I think for us, the intent is to do both acquisition developments. So some of it is going to be towards we just started a development in Keswick, so that's around $80 million project. So that will use some of our equity and that we own the land on it today. The Alberta acquisition, the Nicola acquisition will use some of it, but we still have quite a bit left for us, which will do both in the development side and acquisition side. And the acquisition for us, where we have a competitive advantage is areas, especially in the Western Canada. There are lot more assets, which are campuses. They have both government funding and retirement homes. And some of our peers are either in one business and not the other one. So for us, that does give us a competitive advantage. Instead of competing with three other people for those assets or sorry, five other people for those assets, we might be competing with three. And that obviously tips a bit of a balance in our favor. So I think you should expect us to do acquisitions in both retirement and long-term care in all the four provinces we are in, Ontario, BC, Saskatchewan and now in Alberta.
Pammi Bir : Maybe just last one for me, just on the long-term care construction funding subsidy top up. Is that expected to be extended, I think, beyond November? And does that maybe how does that sort of influence the redevelopment plans going forward?
Nitin Jain: This is again my personal view, not a policy view. There is a huge shortage of long-term care beds in Ontario. So I think any way they can be built would be great. Government will continue to provide that incentive to build those beds. The November timeline has officially not been moved but what the instructions are out is that there's flexibility in those timelines. Again, I would read it as, if you have a project, which is ready to go, it's not a pipe dream then I would say that construction funding would be there. And I do expect that program to continue. But that again, that's a personal opinion, not a policy out just yet.
Operator: Your next question comes from the line of Himanshu Gupta of Scotiabank.
Himanshu Gupta: So just on retirement home NOI margins, I mean, it looks like the care mix is more now in the portfolio and perhaps compressing the margins. So maybe what percentage of NOI today's assisted living or heavy care and how does that compare to say pre-COVID level?
Nitin Jain: I would say Pammi -- sorry Himanshu that percentage has not changed significantly. What has changed is because the view is some of our homes have assisted living floors and there is a care component built into the annual rent rate increases. So that mix has not changed considerably. What has changed is the a la carte services of care. So someone might actually be living on an independent living floor, but are now getting more services. That mix has gone up significantly. I would say we don't disclose our care revenue numbers separately, but just a year over year, they're up close in double-digit percentage I would say over the four years, the number would be very meaningfully different more than 50% change in care revenue. So that mix has been changing and that is high expense because most of it is labor. There has been a lot of labor inflation especially that because it's mostly nurses, when it comes to that kind of care and services and the rates have not kept up with that. We will, we are in the process of catching up with some of those things. So that's why the mix will continue. So as occupancy goes up, as David mentioned, we will see our NOI margin go up for the rental portion because inside we do have that look, but the care is going to come at a very low margin. I would say even when get things get stabilized, I would say more than 15% to 20% would be quite difficult to get to.
Himanshu Gupta: So, even if I look at -- and thanks for the color by the way Nitin. So if I look at pre-COVID you were like 44%, slightly higher than 44%. And if you, just for the product mix I mean, are you already closer to your normalized margin or I mean the point is that it'll not go to 44%, but is like 40% the new normalized or is going to be somewhere between 36% and 40%?
David Hung: Yes, so again, we haven't given the margin percentage outlook only our occupancy outlook, it's going to be somewhere between 37% and the 44%. We don't think -- we think that we still have runway for sure, especially as we get those additional 5 percentage points in occupancy. So it's going to be somewhere in the middle of that range, but it's -- we feel that we've got runway still to go.
Nitin Jain: David, we've shared previously in the past that each percentage, what does it do to retirement? And I maybe if you can speak to that, that might help.
David Hung: Sure, yes. So, every percentage in occupancy growth that we achieve generates about $2 million of revenue and that is at a very high margin of around 75%. So we might be generating, let's say a $1.5 million of NOI for every percentage occupancy growth between now and 95%.
Himanshu Gupta: And then shifting to occupancy and obviously you have breached 90% mark this time. What are you seeing in your broader markets? I mean do you think, what is the market occupancy there and do you think the entire sector is likely to move towards 95% or it will be like some selective markets or selective assets, which go to 95%?
Nitin Jain: I would say the average would be closer to 95%. We have multiple homes which are 95% plus. There are many homes which are close to 100% occupancy. And they have been there for quite some time. So that's not a short phenomena but they're also markets which are being closer to 90%. One of the things we are seeing, because the view was, well, if there's not enough senior homes in Canada, why is occupancy not occupancy not high? And we are now finally seeing that even some of the markets in the past, which have been oversupplied, we are seeing occupancy inching up in some of those markets, so that supply thing is now coming true. And the other portion is where residents have choices, especially in the markets which have a bit of an oversupply. Having the right product mix is going to be important. We recently took investors to one of our home in North York, Kensington Place, where we are undergoing a massive renovation, and we do expect our occupancy to inch up significantly there. We saw similarly in our home in Oshawa area, where occupancy was not doing well. We finished a significant renovation there and we have seen a massive increase in occupancy there and I would say closer to 15% to 20% range to just give you an idea. So I do think there would continue to be an opportunity to get to that 95% as an average. It's not an unreasonable expectation.
Himanshu Gupta: Now shifting to acquisitions, the Alberta acquisition 6.5% going in cap rate. I think you mentioned there's a room for upside or growth on this. Can you elaborate? Are you looking for something here, which can expand the growth in capital?
Nitin Jain: I think there are a couple of things. The first one is, we have been looking to get into Alberta and there have been opportunities in the past. I think this is probably the minimum scale we are going to go in with. We are building our scale. We are hiring lot of local senior resources there, because we are very bullish on the -- and the province given their government funding program and also the view on staffing. It is, I think, the only province, which has net immigration into that province from other provinces. So that is all very strong. How they the ability for an educated nurse to get certified there is also much, much faster there. So it doesn't have the kind of staffing agencies challenges that some of the other provinces have. So the first part would be, we are going in, we're building a bigger platform, we can easily absorb nearly double the size of the platform with resources we're putting. So I think that does do that. That's the first one. Second, the catch up that we've seen in Ontario has not happened in Alberta. So, their funding is in fact behind. I mean, we paid less than around 350 a door for these homes. The construction cost is close to 450 and these are just three years old. So it's not that there's a lot of depreciation built into it. And that ties into that as government looks to build more -- create more long-term care beds or funded beds in Alberta, the funding something has to change in it. We don't know what that would be. And again, our approach would be the same as we have done in other provinces, be a good stakeholder for government, give good data and really advocate and to ensure that the funding is appropriate if you want to build more construction. So that's also, again, that's not a given. That province is very new to us, but we do expect over time the funding to change.
Himanshu Gupta: Last question for me on the staffing. I mean, obviously, these immigration changes were announced recently, I mean, it impacts non-permanent residents, impacts permanent resident as well? I mean, how does that impact the staffing availability for health care sector for your sector?
Nitin Jain: So I would say, overall, it will have an impact on staffing. One of the things in the new immigration rules is health care is exempt. So the restrictions which apply to everything else, they are not the same restrictions. They are obviously more restrictions than they were before. But healthcare, in most cases, is exempt. So, we don't really see a significant change in that a bit. Overall, even when immigration was fully open, there were staffing challenges and that's why as sometimes might not be as appropriate to talk about team member engagement on your investor call. But when you're in an operational business with 12,500 employees with 70% of our expense tied to labor that is going to become a bigger and bigger issue. So again, there's going to be shortage of team members and companies which have the right culture are going to be more successful than others. And we see that in our turnover. I mean these things are not only the right thing to do. Our turnover is down 30% year-over-year. And our agency cost, which was close to $50 million is not touching close to 15, which is 15 with path to zero, which we know will never get to zero, but we'll get as close to as possible.
Operator: Your next question comes from the line of Giuliano Thornhill of National Bank Financial.
Giuliano Thornhill : Just the first one was on your LTC outlook and just assume like Q3 LTC NOI is a good run rate for Q4. That implies about a 19% same NOI growth, but you're guiding for low double-digits. So I'm just curious, what's the delta between the two?
David Hung : Yes. So our outlook is to grow in the low double-digit range to our -- in our view 19% would be within that range. The way that I would look at it is I would take our LTC NOI from Q3, which is quite stable at this point and I would use that as a run rate for Q4.
Giuliano Thornhill : And then just on the occupancy gains in retirement, is there any geographic areas that you've seen it outperforming more recently that you could point to?
Nitin Jain: Not necessarily. I would just say all markets have been doing well. Even some of the markets which have oversupply, they seem to be doing better generally. But for us, our occupancy gains have come from -- we talked about a bit before that we have a set of homes which were underperforming and they were either driven by operational challenges, leadership challenges, not having the right infrastructure, not being competitive from how it shows. And that number is now let's call those. If the number of homes were X, we are now down to 50% of that in this year and we saw significant uptick in that occupancy. So that's what's really driving our occupancy. But overall, we are seeing better market conditions for occupancy.
Giuliano Thornhill : And then just coming back to the prior comment about move-ins coming in older, do you think that's changed like for the long-term or do you see that trending back towards where it was pre-COVID? Is that still burning off some of the move-ins which were delayed from COVID And will that eventually come down to a younger move in age going forward?
Nitin Jain: So we don't really see any kind of a pent up demand. I think we saw that in ‘21, but I think those things have been well taken care of between now and then. I think that is in general as life expectancy is changing in Canada and is increasing, residents are choosing to come in later and later. So I do think that trend will continue. There is a for most residents, the view is they want to be in their home as they should. The idea of retirement home is especially our portfolio is driven by a need. Either it's social isolation, it's some care, whether it's minor housekeeping, whether it's food services. So our retirement portfolio, why we're bullish on our occupancy is because it's driven by need rather than just a choice. And I just think that that demographic will only increase more and more as baby boomers come into retirement space. From all the data we see, we don't see that trend reversing.
Giuliano Thornhill : And then just on the last one for David. You had a pretty large cash balance at quarter end and there should be around $150 million in CMHC coming due, I think, in Q4. How do you anticipate that cash balance and equity being invested over the coming 12 months?
David Hung: Yes, so the $150 million that we had to coming due in November, we've already repaid that with the Series D debenture. And then other than that, like our cash balance, we will invest it into term deposits or whatever instrument will yield the largest return. That would also include repaying conventional mortgages that we have coming due. So we'll definitely make sure that we are prudent around maximizing our return on any cash balances.
Operator: Your next question comes from the line of Sairam Srinivas of Cormark Securities.
Sairam Srinivas: Congratulations on a good quarter, but all the questions have been answered, so I'll turn it back.
Operator: Your last question comes from the line of Dean Wilkinson of CIBC.
Dean Wilkinson: Sorry if I missed this Nitin. On the move out into Alberta, do you guys have a target of how much of the portfolio you would want to sort of see there long-term? And would that be a mix of both kinds of assets or do you have a preference either way?
Nitin Jain: I would say that we see opportunities both in retirement long-term care in Alberta. And similar to BC, there is a tendency in both those provinces, which we like is to have a bit of a campus, which has both really retirement and funded care in some form. So I do think there'll be opportunities for both. We don't really have a target of how much of the portfolio we see other than to say that we like the province, we like the demographic trends there, we like the staffing there. So we do expect to increase our portfolio when we find the right opportunities.
Dean Wilkinson: And would it be fair to say you can't get the same kind of acquisition yields, say in Ontario, where you're able to buy stuff at 25% discount to replacement cost and it's just it's harder to do, say, in our own backyard?
Nitin Jain: Actually, we see similar yields. I would say if we were in Alberta, the yield would have been higher on the 6.5%. It would be closer to 6.75% because we would already have the manageable platform, in this case, we're building. So there's some cost of that. And these assets are really brand new. So I think if they were even 5 or 10 years out, we would have seen a different deal. We see yields similarly in Ontario, call it 6% and 6.25%, so not really a big difference in that. So the yields are quite similar in both these provinces.
Operator: That concludes our Q&A session. And with no further questions, that concludes today's conference call. You may now disconnect.